Operator: Good day. Thank you for standing by. After the speakers' presentation, there will be a question and answer session. Welcome to the FactSet First Quarter Earnings Call. At this time, all participants are in a listen-only mode. To ask a question during the session, you will need to press star 11 on your telephone. You will then hear an automated message advising your hand is raised. To withdraw your question, please press star 11 again. Please be advised that today's conference is being recorded. I would now like to hand the conference over to your speaker today, Kevin Toomey, Head of Investor Relations. Please go ahead.
Kevin Toomey: Thank you, and good morning, everyone. Welcome to FactSet's first quarter fiscal 2026 earnings call. Before we begin, the slides we reference during this presentation can be found through the webcast on the Investor Relations section of our website at factset.com. A replay of today's call will be available on our website. After our prepared remarks, we will open the call to questions. The call is scheduled to last for one hour. To be fair to everyone, please limit yourself to one question. You may reenter the queue for additional follow-up questions which we will take if time permits. Before we discuss our results, I encourage all to review the legal notice on slide two. Discussions on this call may contain forward-looking statements. Such statements are subject to risks and uncertainties that may cause actual results to differ materially from results anticipated in these forward-looking statements. Additional information concerning these risks and uncertainties can be found in our forms 10-K and 10-Q. Our slide presentation and discussions on this call will include certain non-GAAP financial measures. For such measures, reconciliations to the most directly comparable GAAP measures are in the appendix to the presentation and in our earnings release issued earlier today, both of which can be found on our website at investor.factset.com. During this call, unless otherwise noted, relative performance metrics reflect changes as compared to the respective fiscal 2025 period. Joining me today are Sanoke Viswanathan, Chief Executive Officer, Helen Shan, Chief Financial Officer, and Goran Skoko, Chief Revenue Officer. I will now turn the discussion over to Sanoke.
Sanoke Viswanathan: Thank you, Kevin, and good morning, everyone. I'm very pleased with how we've started our fiscal year. We are reporting strong ASP growth and healthy operating margins, coming from broad adoption of our solutions and some key customer wins. ASP grew 5.9% to $2.4 billion. Adjusted operating margin was 36.2% and adjusted diluted EPS is at $4.51, up 3% year on year. Thank you to all our FactSetters for your focus and commitment to delivering for our clients. We are not just growing; we are winning in the places that matter, across firm types and in the areas that we've prioritized. Clients are choosing FactSet over alternatives because of the strength of our platform. I will share just three examples. We secured a significant mandate with one of the largest warehouse breakaway teams, who made FactSet a requirement in their transition to an RIA consolidator. This matters because these breakaways preserve enterprise revenue at the originating firm while adding ASP at the consolidator. At a global top 10 bank, we displaced an incumbent for pricing and reference data feeds supporting their global reference data hub and multiple use cases in Asia Pacific. We secured a major win with one of the world's largest investment managers, who chose FactSet Vault as their analytics book of record and our managed services for performance to unify holdings across all their subsidiaries into a single database and deliver flexible reporting across their institutional and retail businesses. These wins illustrate the resilience and scalability of our client franchise, driving ASP growth and expanding our reach into adjacent markets, opening new sources of growth. I'm pleased to announce that we are increasing our share repurchase authorization from $400 million to $1 billion. This decision reflects our conviction in the strength of our balance sheet and in the intrinsic value of our shares, delivering shareholder returns while maintaining the flexibility to invest for long-term growth. Over the past three months, I've focused on the fundamentals of our business, including our people, clients, and products, assessing what we do, where we lead, and where we need to improve. I've spent time with employees in all our major global offices, reviewing our operations, product development, execution, and met with over 80 institutional clients across North America, Europe, and Asia. I've engaged with technology and content partners on ways to develop new solutions for our clients. And I've spoken with shareholders about their priorities and how we can better articulate our strategy and milestones. What I've heard from everyone reaffirms the core strengths that set FactSet apart and why we believe we will continue to be indispensable to clients. First, our connected data. Clients rely on FactSet for high-quality, trusted content, curated over decades and enriched by deep domain expertise. Just as important, our ability to standardize and reconcile third-party sources with speed and precision is market-leading, thanks to advanced integration, concordance, and entity resolution capabilities. And clients access our data where and how they need, through APIs, secure low-latency feeds, cloud connectors, and MCP servers, without sacrificing performance, security, or reliability. Second, embedded workflows. FactSet isn't a portal. We are built into the data pipes and decision engines that run global finance. Every day, clients on average make 8.4 billion FactSet query language requests for spreadsheet use, evidence of deep reliance on our platform for valuation screening and other decision-making. Our portfolio analytics power mission-critical workflows, performance, attribution, risk, and reporting, where accuracy, explainability, and governance matter most. We are interested to view the activity, exposure, and risk across client books and deliver analytics that inform decisions throughout the investment life cycle. Third, best-in-class client service. We combine technology with human expertise. Our consultants are trained on the workflows of asset managers, banks, and wealth advisers. They operate as partners to our clients, designing implementations, guiding transitions, and enabling user adoption and personalization. In a recent meeting I had with the head of wealth management at a top 10 global bank, the first thing he said to me was how much he appreciated his FactSet consultant and mentioned her by first name and said she had just been in his office before I showed up. Fourth, broad and deep distribution. We have reached across the industry: 100,000 wealth advisers, roughly three-quarters of the top global investment banks, and 95 of the top 100 global asset managers rely on FactSet. The average age of our client relationships is more than 16 years, so it is clear that this trust runs deep. These strengths reinforce each other in a flywheel to make FactSet essential today, and increasingly so as AI and agentic capabilities become more prevalent in daily work. Success in enterprise AI comes from trusted high-quality data, secure integration with models and workflows, and detailed knowledge of how financial institutions operate. This is where FactSet stands out. Over 90% of our ASV is composed of proprietary client-facing solutions, and proprietary data and tools enriched by subject matter experts. Examples include portfolio analytics, FactSet Performance Solutions, QSIP, Revere, and FactSet Fundamentals. We are one of the few companies trusted to integrate external and private data at scale without compromising safety, supported by strict data ownership entitlements and security compliance. While other providers offer conversational interfaces or point solutions, they lack the governed data foundations and enterprise integration that regulated financial workflows require. And because FactSet is so deeply integrated across buy, wealth, and banking clients, we are uniquely positioned to navigate their technology architecture, consolidate fragmented data environments, and tailor AI and agentic solutions to their needs. As the flywheel compounds, it directly translates into faster product innovation, deeper user personalization, and measurably better client outcomes. Let me give you a sense of the volume running through this flywheel today. Just in the past thirty days, our clients have actively used a million custom models and screens to run data queries pulling hundreds of billions of data points. We believe AI will accelerate this flywheel. We are still in the early stages of enterprise AI adoption, but to give you an example, across the AI products we launched earlier this year, we've seen broad-based user adoption, with sequential growth of more than 45%. Put simply, AI doesn't replace what makes FactSet essential; it amplifies it. While I'm pleased with our first quarter results and the positive feedback from our clients, there's much work to be done to unlock the tremendous value within our business. This starts with decisive action to accelerate growth and operating leverage. I have three priorities: driving commercial excellence, delivering productivity improvements across the business, and solidifying our long-term strategy to ensure FactSet is positioned for sustainable growth. First, commercial excellence. With our strong products and trusted client relationships, we are sharpening sales execution to reinvigorate top-line growth. We are driving new business development, using analytics to prioritize new prospects, scaling marketing to increase awareness and recall of flagship solutions, putting AI tools to work for personalized outreach and follow-up, and managing the pipeline with rigor. We are simplifying packaging and pricing, organizing clients by persona and usage, refreshing bundles with data-driven insight, fully integrating recent acquisitions, pricing to value, and tightening controls to reduce leakage. We are focusing on improving retention and expansion within our clients, aligning customer success metrics and incentives to drive adoption and upsell, using analytics to flag and reduce churn, and elevating our strategic dialogue at top clients. And we're modernizing sales operations, raising performance expectations, applying best practices to sales incentives, reducing friction with advanced forecasting and analytical tools, and instituting robust productivity tracking. We are executing with urgency while laying the groundwork for world-class commercial performance. For example, we've changed sales incentives to better align them with the outcomes we want: new business, cross-selling, and upselling. This has already led to faster sales motions and a richer pipeline. My second priority is driving productivity gains. I've initiated a disciplined review of our technology, processes, and client service model to identify and act on opportunities to reduce complexity, apply modern tools, and streamline operations. We've initiated a program of transforming and consolidating our legacy technology applications onto a centrally managed modern platform. This is expected to significantly reduce complexity for our developers and deliver efficiencies. One tool having immediate impact is our new text-to-formula agent, which reduces routine support traffic, resolving requests in an average of six seconds versus minutes for a human interaction. On average, approximately 35% of formula support questions daily are now handled by this agent. By offloading these repetitive requests, our service teams are able to focus on higher-impact client work. Each interaction also adds to a reinforcement learning loop that continuously improves product performance. Leveraging new data modeling, visualization, and programming approaches, our data operations team is now able to ingest third-party data at 10 times the speed, vastly expanding our content coverage without adding headcount. These examples illustrate the scope of opportunity there is to drive productivity and efficiency across the organization. My third priority is solidifying our long-term strategy to ensure FactSet is positioned for sustainable growth. I'm engaged closely with the board and my management team to shape FactSet's future, and we are holding ourselves accountable to make hard decisions around allocating resources and capital. I know you're all eager to hear my thoughts about medium-term guidance. It's too early for me to comment on that, but I want you to know that I'm working actively on new growth initiatives, anchored on content and technology innovation, that drive real competitive differentiation and deliver durable ASP growth and operating leverage. As I reflect on my first few months, I have greater conviction in FactSet's position today because the structural advantages are real, the client reliance is deep, and the opportunities to expand our impact are tangible. We have three clear priorities that we are acting on with urgency to drive a culture of excellence across the company. Over the coming quarters, we'll continue to provide more details as we execute against these priorities. Now I will hand over to Helen to discuss our Q1 performance in more detail.
Helen Shan: Thank you, Sanoke, and great to be here with all of you on this call. Our Q1 FY 2026 results mark a solid start to the year driven by disciplined execution and deepening traction with our clients. For the first quarter, organic ASV growth accelerates sequentially to 5.9%, an increase of $66 million. Expansion with our existing clients was the key component, with strong demand in trading, workstations, and markets data across the buy side, banking, and wealth. With that, let's review the quarterly results in more detail. Starting with our regional performance, in The Americas, organic ASV grew 6% this quarter driven by asset managers and wealth. Within this region, we are seeing increased demand for our portfolio life cycle solutions and AI-ready data, both from existing hedge funds and new ones coming on board. In EMEA, organic ASV grew 4% this quarter. We had higher expansion with Performance Solutions and improved retention overall, both helping to offset some softness we experienced with asset owners in the region. In Asia Pacific, organic ASV grew 8%, up from 7% last quarter. Middle office solutions and AI-ready data were the key drivers here, as we're seeing regional firms increasingly investing in modernizing their tech stacks to compete globally. Now turning to our results by firm type. On the institutional buy side, we delivered 4% organic ASV growth, with broad-based strength across firm types. Asset managers led the way with multiple 7-figure wins and improved expansion with existing clients. Growth here was fueled by our trading solutions, performance, and managed services. Hedge funds accelerated again this quarter with strong demand for our data capabilities and front office offerings. Asset owners' growth was softer this quarter as we lapped the large outsourced CIO win in Q1 last year. We do continue to see selective opportunities where our Performance Solutions and client relationships are gaining traction. In wealth, we delivered 10% organic ASV growth in Q1, displacing incumbents with 6-figure wins spanning workstations, pricing, reference data, and analytics. This quarter, off-platform solutions, data feeds, APIs, and analytics integrations comprise an increasing portion of expansion. This validates our land and expand strategy as existing workstation clients embed FactSet content into their broader technology stacks. In deal makers, organic ASV grew 6% year over year. Banking drove the majority of the growth as clients expanded their use of our data feeds, APIs, and off-platform solutions. Across our banking franchise, we are seeing higher net seasonal hiring, driven by a strong M&A market globally. Corporates and PEVC also contributed to growth with both new business wins and improved retention. Integrated solutions are resonating and driving expansion within existing clients. This quarter, we are renaming partnerships and CGS to market infrastructure to better reflect the exchanges, data providers, and market participants we serve. Organic growth was 7% with robust data demand and continued strong issuance activity. We're expanding our client base and deepening relationships. Client count grew to over 9,000, up 9% year over year, driven by corporate and wealth additions. Retentions remained healthy at 91% for clients and above 95% for ASV. Our user base is now approaching 240,000, with wealth and asset managers leading user growth in the quarter, up 10% versus the prior year. Turning now to our financial results. First quarter revenues grew 6.9% year over year to $608 million, or 6% organically, excluding foreign exchange and M&A impact. Adjusted operating margin came in at 36.2% for the quarter. Adjusted earnings per share was $4.51, up 3% year over year, driven by growth in revenues and a lower share count, offset by a higher tax rate. Operating expense increased 9% year over year on an adjusted basis with a few key drivers. People-related expense rose $15 million or 7%, driven by higher annual merit increases and year-over-year lapping dynamics. Specifically, employees hired or acquired after Q1 of last year, including from Erwin and Liquidity Book, are now reflected in our full quarterly run rate. Sequentially, total headcount grew less than 1% in the quarter, concentrated in low-cost locations. Technology expense grew $13 million or 23%, driven by higher internal use software amortization and cloud expense. As we've discussed, we are concentrating investments in both growth and structural capabilities to expand our market leadership through product innovation. Our other expense categories remained well controlled. Third-party content costs increased $4 million to support new datasets for research workflows, while real estate expense rose $2 million due to lease renewals and a return to office expense. For a detailed breakdown of our expense progression and reconciliations, please reference the appendix in today's earnings presentation. I will now walk you through our investment priorities, which remain consistent with what we've outlined last quarter. We're allocating roughly two-thirds to growth and one-third to our internal infrastructure. The growth investments are targeted across firm types. First, we are building a more differentiated data universe, including enterprise data such as real-time feeds, pricing and reference data, as well as our own deep sector content. Second, we are deepening our client workflows, such as extending our strength on the adviser desktop into the home office functions for wealth clients, broadening our managed services offering, and connecting the trade life cycle through our modern EMS and OMS solutions. The structural investments are aimed to enable growth. First, we are upgrading our go-to-market tools and processes to accelerate our sales motion and increase activity levels. Second, we are modernizing core infrastructure, cybersecurity enhancements, AI-powered productivity tools, and performance-based incentives. These are intended to drive operational efficiency as we scale. These investments should strengthen retention and expand our opportunities with existing clients while positioning us to grow with new clients. To help fund these activities, we are executing on productivity actions Sanoke noted earlier, reallocating resources from maintenance to growth initiatives, managing headcount and third-party spend more rigorously, and implementing AI to automate routine processes. Together, these actions should produce sustainable expense savings. On capital allocation, we maintain a balanced framework, but in our priorities, growth comes first. We are deploying capital into product development, go-to-market capabilities, and infrastructure modernization to drive future growth. Our strong balance sheet gives us the flexibility to pursue these investments while also returning capital to shareholders. We ended the quarter with a gross debt leverage ratio of 1.4 times, and our consistent free cash flow generation supports both our growth agenda and capital returns. With our financial strength as a foundation, we are also committed to shareholder returns. Earlier today, we announced an increase to our share repurchase authorization from $400 million to $1 billion. During our first quarter, we purchased approximately 478,000 shares, leaving $860 million of capacity under the program. This increased authorization reflects confidence in FactSet's long-term fundamentals. We also paid a quarterly dividend of $1.10 per share today to shareholders of record as of November 28. In total, we've returned $554 million to our shareholders over the last twelve months through dividends and buybacks, and we remain committed to delivering strong returns while investing for growth. Let me finish with guidance. We are reaffirming our previously issued FY '26 guidance across all metrics, both GAAP and adjusted. Clearly, Q1 was a solid start, and we are encouraged by continued client demand. So this sets us up well to deliver on full-year targets. Looking ahead, our pipeline remains healthy, and we are confident in our ability to convert opportunities and successfully close on key renewals. With much of the year still ahead of us, we are maintaining a prudent and conservative approach to guidance. We are focused on executing against these commitments and will provide updates as we gain additional visibility. On quarterly phasing, we expect Q2 operating margins to reflect the step-up in investment outlined earlier as we bring on headcount and technology resources. This is deliberate and keeps us on track for a full-year margin target. In summary, we achieved a strong Q1 with a healthy demand environment, disciplined investments in growth, and financial strength to deliver sustainable shareholder returns. Thank you for your time today. Operator, please open for questions. Thank you.
Operator: As a reminder, to ask a question, please press 11 on your telephone. Our first question comes from the line of Alex Kramm with UBS Securities. Your line is now open. Alex Graham, your line is open. Please check your mute button. Our next question comes from the line of Kelsey Xu with Autonomous Research. Your line is now open. Hi, good morning. Thanks for taking my question.
Kelsey Xu: I feel like recently there's been a lot of discussion around FactSet's competitive positioning versus AI startups. I'm actually more curious to hear your perspective on how FactSet is positioned amongst the Big Four data incumbents. I think everyone is investing in AI infrastructure. Everyone's launching new AI products. And FactSet is a smaller one of the bunch. So just curious to hear your strategy to maintain share or gain share with an incumbent.
Sanoke Viswanathan: Thank you, Kelsey, for that question. I'll reiterate what we said earlier, which is that we are very confident, very, very confident in what we view as proprietary assets that we have. Both in terms of data as well as tools and analytics, what we bring to bear, there is a significant amount of capability that we bring that is not disruptable by others. At the same time, we also partner very actively with the full range of the AI ecosystem from the hyperscalers to startups. And we view the distribution through those as complementary to our existing distribution. I'll just take a couple of examples and talk about how we think about our strategy. When you look at our workstation, we view the workstation as a channel that distributes our data just like we distribute data through data feeds and through APIs. At the same time, as clients are starting to move into production workloads with AI, they demand security. They demand entitlements. They want a container through which they can consume their AI in a safe and secure way. All of which the workstation does and has been done for decades. So what we are really seeing, and this is evident in our strong quarter you just saw, and in the pipeline that we see, there is a huge amount of demand from clients. From our core existing clients, who've been through, I would say, months, if not years of trialing and experimenting with different AI solutions, coming to us and asking us to be a consolidator of these solutions. And really driving demand. And we've seen multiple five-year and seven-year contract renewals from some of our largest clients where AI is a key component of what we are going to be delivering for them. And let me ask Goran to add a little bit more color to this.
Goran Skoko: Yeah. Kelsey, just in terms of how do we stack up versus the established competitors, we feel strongly about our competitive position. We are well-positioned to take share. We keep investing in our content assets, and, you know, we are pleased with the progress of some of those that really are the key to taking share, especially if we have time, you know, price reference data and things of that nature. And data solution was a big driver of the Q1 results. I hope that answers your question.
Operator: Thank you. Our next question comes from the line of Faiza Alwy with Deutsche Bank Securities. Your line is now open.
Faiza Alwy: Hey. Thank you so much. Good morning. Sanoke, thank you for your detailed comments regarding your priorities. A few things stuck out to me regarding, you know, commercial excellence. You talked about sort of simplifying pricing, packaging, pricing to value. And some of the changes around, you know, sales incentives. And it sounds like you're saying it's already led to, you know, faster sales motion and a richer pipeline. So we'd love to hear a little bit more, sort of bring to light some of the changes that you have either already incorporated and, you know, the early results that you're seeing.
Sanoke Viswanathan: Thanks, Faiza. Yes. We are actively at work on a whole set of levers across the entire sort of sales enablement and Salesforce effectiveness. Incentives were one of the first things we worked on in this last quarter. And we've really aligned our incentives across the board, certainly in sales, but even more broadly across the company. To focus on the motions that we are looking to achieve. So first, just, new business development. There's a real renewed vigor and energy with which we are attacking new business development all the way up and down the funnel. And we are seeing significant expansion in our top-of-the-funnel lead generation coming out of that. The second area is obviously cross-selling and upselling, so driving retention and expansion in our core clients. This, we are seeing a big pickup, and the energy in our sales teams is palpable. We are seeing faster sales motion. It is definitely aided by the fact that our AI products are resonating. And there is an urgency in clients as well to move faster in terms of capturing the value from those products. And in terms of some of the other levers I spoke about, we have a lot of work ahead of us. We are investing in our systems. We are applying more analytics to understanding where we are trending in terms of client usage of our products. And being able to flag and ultimately reduce the risk of churn. So we see good upside from this coming through in the future quarters. And, certainly, the idea is to build a sustainable long sort of high-performance commercial engine.
Operator: Our next question comes from the line of Alex Kramm with UBS. Your line is now open.
Alex Kramm: Hey, guys. Hopefully, you hear me now on this line. Seems like you are. You hear me? Sorry. Yes. Yes. All clear.
Sanoke Viswanathan: Alright. Good. Sorry. Technical difficulties today. Alright. Anyways, I think this was asked when I disconnected, but the other question I'm getting related to AI a lot when it comes to you guys is also how the hiring picture is gonna look for your customer base in the future because obviously, not only you, but your customers are talking about using AI for efficiency. And, you know, I think 50% of your business is still a desktop business. So maybe you with your discussions you've been having with clients, where do you hear that the most? Like, what client types do you think you can actually see some maybe a customer reductions in terms of the seat? So and how do you stack up in those areas? Meaning, you know, where do you see the biggest reduction of force, and how does this impact your kind of desktop-related businesses?
Sanoke Viswanathan: Oh, good. Thanks, Alex. Yeah. Look. As I said, I've met with dozens of clients now around the world and across all our firm types. And, certainly, I'd say there's a huge amount of experimentation and testing out and piloting of various AI solutions. What we're seeing on the ground in terms of real commitment and, you know, commitment of the larger dollars though, is to folks like ourselves. Ultimately, clients are looking for ways in which they can augment their FactSet solutions. And our own AI products are resonating. We are not seeing yet any real reduction in headcount. Frankly, not even in banking where there has been a significant amount of discussion about it. What we are actually seeing this season is a strong recovery driven by the M&A recovery more broadly. We're actually seeing increased headcount, increased hiring of bankers, and, by the way, increased usage of all of the digital tooling including our AI products. So our banking AI products, for instance, have seen over a 100% in terms of usage growth just quarter on quarter. So I actually think what is really likely to play out is that we are gonna see consumption growth, which we are very well prepared for because of the way in which we have structured our contracts with clients. And an increase in headcount as well. Again, I don't have a crystal ball, but so far, we're not seeing any reductions. Certainly discussions about it, and there is an expectation that there'll be greater efficiencies. We are seeing those efficiencies, if they are already coming through, being put back into attempts to gain market share by our clients in our end markets.
Operator: Our next question comes from the line of Manav Patnaik with Barclays Capital. Your line is now open.
Manav Patnaik: Thank you. Good morning. I just had a question on the slide you had on the margin impact for the 2026 investments. Just kind of following up, what is the cadence, I guess, by quarter we should be expecting on that 250 basis point gross investment? Like how much is done this quarter, for example? And then, you know, are these one-time investments? Or should we anticipate, like, 2027, 2028, etcetera, having more of these as well?
Sanoke Viswanathan: So, Manav, I'll take the second part of that question, and then I'll ask Helen to cover the cadence through this year. So just to recap the sort of the nature of our investments, we have a good chunk of investments going into foundational elements. Broadly put, the foundational elements into two types. We are investing in our sales incentives as well as broad incentives across the organization. So we can attract and retain top talent. And the second, we are investing in technology infrastructure. So both cybersecurity as well as resilience for the critical infrastructure that we are providing for our clients. Both very essential to the core business that we deliver. So these are strong foundational enablers that set us up well for future operating leverage and for scale. The bulk of the investments then is growing into very specific targeted growth areas. Both on the content side, so explicitly expanding our datasets, whether it's pricing and reference data, real-time data, deep sector data, and, frankly, continuing to invest in the AI readiness of our data and on the other hand, on deepening our workflows across the portfolio life cycle both in the wealth space as well as in investing in areas like our trading and, you know, OMS and EMS systems. So these investments all have clear line of sight into direct line demand. So we feel very good about this level of investment. And we are not planning to change this level of investment the rest of this year. I think the idea is to, you know, we have a solid investment plan. And we expect that the benefits of this will play out in future years. You know, about the longer-term investment path, that's linked intrinsically to our long-term strategy development, which we are working actively on. I will come back and share more about that in future quarters. So let me turn it over to Helen to hit the cadence for 2026.
Helen Shan: Thanks. And thanks for that question, Manav. So we're pretty pleased with the progress we've made on our cost management program thus far. Those are the productivity benefits that we referred to earlier. And when we think about the full-year phasing, when we look at, for example, technology costs, which we would expect to continue to increase, amortization of capitalized software is increasing through the year, and that really reflects our prior investments. And then also the full-year run rate from recent acquisitions are gonna start to lap going forward as well. So those are things that are impacting the phasing. When we think about the strategic investments, they're really back-half weighted across three areas: the incremental headcount, software infrastructure, and then also professional services, which are really more largely one-time in nature. So we don't usually provide quarterly guidance as you know, but you can sort of expect that similar pattern that we saw last year. That being said, Q4 can be impacted, positive or negatively, depending on our performance, which is what happened last year. But that's how I would think about the impact of margin over the rest of the year.
Operator: Our next question comes from the line of Shlomo Rosenbaum with Stifel. Your line is now open.
Shlomo Rosenbaum: Hi. Thank you very much. I had a broader question just on the environment. It seems like during the quarter, the company took a step forward in the organic growth in each of the geographic units. And what I'm trying to understand is how much of that is from the, you know, Sanoke, maybe you're lighting a fire under people more, you know, over the near term in terms of closing some of the business and getting things done. And how much of it is that you're really seeing an improvement out there in the environment in general? And I know that's not it's very hard to quantify it, but maybe, you know, you can give us some thoughts on, you know, what you're seeing with the environment versus how much of it is company-specific success.
Sanoke Viswanathan: Yeah. I'll ask Goran to comment on this and add to it. But let me start by saying that we're seeing very good positive sentiment across the board. This high conviction we are seeing from our clients in our products and solutions. And the pipeline is certainly much stronger at this point in the year than it was this time last year. So we're quite pleased with the sales cycle. We're seeing a very diversified pipeline across firm types, which is giving us confidence that, you know, we don't see any risk to any particular type of situation. And frankly, it's the some of the initiatives we are undertaking is leading to better retention. So to your question, it's a complementary situation where, you know, there's certainly a bunch of things we are doing, which is helping our own organic pipeline both in terms of retention and expansion. The market environment is strong, and we see that in customer sentiment. There's lots of demand for new data products. There's expansion in the ways in which clients are looking at consuming our data and applying it to work. We're seeing a growing demand from the technology offices of clients, data science teams, teams that were traditionally not perhaps, you know, in front of a FactSet workstation, but are starting to consume our data in significant quantities through new channels, whether it is APIs, direct data feeds, cloud connectors, MCP servers, etcetera.
Goran Skoko: So, Shlomo, yeah, as Sanoke said, it's a little bit of both. You know? So the environment is more positive, more constructive. But, you know, I think it's also the things that we are doing. Investments that we have made are resonating. So we have seen an improvement in retention in banking, for example, and, you know, I would attribute that to our investment in aftermarket research and deep sector, which is certainly helping. Our trading solutions are contributing significantly, so we are seeing better diversification across the product lines in terms of contribution. And then, you know, the client demand is increasing. We have seen some positive impact from regulations in China, and we are seeing, you know, deals closing pretty fast. And, you know, and I think demand for our content is increasing in that region significantly. So it's, you know, well diversified in terms of contributions, and we are pleased with the progress so far.
Operator: Our next question comes from the line of Andrew Nicholas with William Blair. Your line is now open.
Andrew Nicholas: Good morning. This is Tom Rodsdon for Andrew Nicholas. Thank you for taking my question. I was wondering if you could speak to how AI contributed to your AI product contributed to ASV growth in the quarter. And kind of any color you could add on how it's driving new wins, displacing incumbents, or just helping retention? Thank you.
Sanoke Viswanathan: Thank you for that question. As we said last time, we've stopped calling out our AI products separately as a line item. And, candidly, it was because we are seeing AI just deployed everywhere. So across the board, we look at our solutions that we're delivering both for the institutional buy side and wealth management as well as on the sell side. We're seeing AI consumption just being a real complement and an accelerator. It's a real tailwind to the conversion of our core products as well. So it's definitely adding to the mix. And I'd say I'll point to adoption as probably the best way to describe the effect it's having on our clients. Just the AI products we launched in this year, so if you look at what we launched in the first quarter of back in January, February, March, sequentially, they've been growing at a very nice pace. Just this quarter, we saw the growth rate and adoption of all of that at over 45% just quarter on quarter. And we're just at the start of this journey, and we are both investing in new products as well as continuing to distribute and enhance these products. So we see it as a real tailwind for the overall business.
Operator: Thank you. Our next question comes from the line of George Tong with Goldman Sachs. Your line is now open.
George Tong: Hi, thanks. Good morning. You talked about leaning into product initiatives like ingesting data better, modernizing your tech platform, and driving service team efficiencies. At the same time, you're investing in the sales and tech infrastructure, and that's causing operating margins to decline about 150 bps for full-year fiscal '26 just based on guidance. How do you think about balancing investments with your ability to drive margin expansion?
Sanoke Viswanathan: Thanks, George. The investments we are making are, you know, of two types. The structural investments we are making are going to help us in terms of operating leverage. So the example I gave about really organizing all our applications into a new form where they are able to leverage a common technology infrastructure is centrally run. This takes a lot of the toil away from our developers at the front end and puts time back in their hands, which they can focus on really cutting-edge product development, which then creates that sort of flywheel effect for us of being able to ship products faster. So that investment, the structural investments are key to driving operating leverage. The growth investments, as I said earlier, are directly aligned to client demand. We are investing in our content. We are investing in our delivery mechanisms and our work, and we're investing in AI. Right? So the combination of all of this is gonna directly resonate with clients as it has, as you've seen in the quarter. And we see a strong pipeline throughout the year. So we're really balancing these two investments. And we see value from both, both in the short term, but even more so in the medium to long term.
Operator: Thank you. Our next question comes from the line of Toni Kaplan with Morgan Stanley. Your line is now open.
Toni Kaplan: Thanks so much. The organic ASV growth has been accelerating for the past three quarters and is better than I was expecting in this quarter. And so just based on the guide, it looks like you're expecting it to decelerate from the current level, and this is despite sort of the confidence and momentum, good pipeline, and the investments. And so I was just wondering, is this just conservatism or is there something that you're seeing that would imply that growth slows towards the end of the fiscal year, maybe it's the tough comp. Just wanted to understand what would drive the, you know, the guidance or, you know, not to be a little bit higher and sort of what factors might go into, you know, sort of getting to the low end of the range versus the high end of the range on organic ASV? Thanks.
Sanoke Viswanathan: Thanks, Toni. We remain very confident, as we've said, in the strength of the pipeline. Having said that, it's really early in the year. And there is a significant amount of business to be, you know, acquired throughout the rest of the year. So, you know, we want to be prudent, and we are, obviously, you know, remaining very focused on winning deals, you know, executing well in the market. And we hope to come back in future quarters and, you know, continue to support this sort of growth trajectory that we have been on in the last three quarters.
Operator: Thank you. Our next question comes from the line of Jeff Silber with BMO Capital Markets. Your line is now open.
Jeff Silber: Thanks so much. I really appreciate, I think it was slide seven in your deck where you try to calculate what the, you know, of your products and services are proprietary versus non-proprietary. Can you give us a little bit of color how you came up with what exactly went in each bucket?
Sanoke Viswanathan: Sure. Thanks, Jeff. As we show in the slide, you know, we have the vast majority of our business as proprietary. And I'll spend a couple of minutes just explaining, you know, how we've gone about the analysis. So as you can tell on the slide, 40% of our business is intrinsically linked to client proprietary data. We bring our proprietary models, our analytics, our solutions to work on their data, which is obviously proprietary, and we feed it back in terms of high quality that then feeds a number of downstream workflows. A good example is portfolio analytics. It's what we do with our adviser dashboards on wealth management advisers' desktops. We're here, we are really supporting millions of portfolios of end clients that our advisers are managing and advising on. We are enabling them to do their jobs better. So that's 40% clearly proprietary. The remaining 60% of the work we do and of our business is data that we distribute through multiple formats, the workstation being a flagship channel. But we also deliver through APIs, through other feeds, and through more and more modern channels. When you look at the far right on that page, the 10% that we are really saying, you know, we are holding a high bar and saying that it's not proprietary, this 10%, we are labeling it enhanced and curated. You could technically access the core data from public sources. But as you can see on the page, there are some very strong branded products there with a high degree of client loyalty to FactSet. An example would be StreetAccount, an example would be Shark. It would be GeoRev. Even these are enhanced with a lot of FactSet methodologies and content and humans, for example, street account reporters, who are working every day to deliver these services. But we're being intellectually very rigorous in saying these can technically be accessed through other sources because the raw data is publicly available like news and filings and so on. That brings us to the 50%, what we are calling proprietary and enriched. So why do we say this is proprietary? This really is either because the data is proprietary, as in the case of QSIP, or that the data is enriched significantly with our proprietary methodologies and know-how. I'll give you a very simple example. Some of our strongest franchises, whether it's identifier assignment, benchmarks, normalized fundamentals, instrument-level cap structures, event-driven data, regulatory data sets, all of these, these are not just historical artifacts. We rely on ongoing skilled domain expert labor and proprietary methodologies that are applied to this every day, every minute, and often in milliseconds to actually deliver very high-quality structured intelligence to our customers. So examples are the Revere, you know, business industry classification, right, our BICs, which is the industry gold standard for industry classification. It's our real-time exchange and pricing and reference data feeds. Our private capital data on private companies. Deep sector data. And, obviously, our absolute flagship products are standardized and point-in-time fundamentals and estimates, which is the gold standard for fundamentals in the market.
Operator: Thank you. Our next question comes from the line of Surinder Thind with Jefferies. Your line is now open.
Surinder Thind: Thank you. Sanoke, I just wanted to kind of ask about kind of the idea around medium-term targets here. So as you work towards establishing them and you think about the growth in the margins, like, what are some of maybe the key considerations you're exploring here? It just seems that, like, with the pace of change, it's accelerating, you know, how things might look out two or three years. There's just a lot of uncertainty. So would you be even able to build a medium-term outlook that you can have confidence in?
Sanoke Viswanathan: Absolutely, Surinder. This is our, as you looked at my priorities that I described earlier, spending a lot of our time working on our strategy and our long-term vision. Of course, there's uncertainty in the marketplace. We like this uncertainty because we see the trend of opportunity in it. We are very well positioned to take advantage of the changing dynamics, the form factor changing, the addition of new content sets, opening up of new end markets. We are excited by the opportunity set in front of us. And our strategy is working the way we are developing it, which we'll, of course, come back and share in future quarters, is designed to find ways in which we can differentiate ourselves better from competition, from our traditional and new competition, and finding ways in which we can capture new vectors of growth and continue to sweat our existing assets and capabilities better and capture more upside from those. So I do feel very confident that we can come back with medium-term guidance in the future quarters.
Operator: Thank you. Our next question comes from the line of Jason Haas with Wells Fargo. Your line is now open.
Jason Haas: Hey, good morning, and thanks for taking my question. Based on some of my comments, it sounds like you're selling more AI-ready data through feeds and APIs and presumably, your clients are gonna be using that data with their own AI solutions. And I think there's a thought out there that this would be a first step to potentially those clients not needing as many workstation subscriptions. So I'm curious if you could comment on that. And then, it's related, so I wanna also ask are you able to talk about how the margin on those, like, feeds business compares to the margins when you sell a workstation product. Thank you.
Sanoke Viswanathan: Thanks, Jason. So a couple of things. The distribution of our high-quality data that is now ready for AI consumption, so AI models can really read the data and make sense of the data because of all the enrichment we've done with the metadata to it, is certainly a growing opportunity for us. We don't see it as a risk of cannibalizing our existing channels. For a couple of reasons. As I said earlier to one of the earlier questions, we see the workstation as a channel. It's a flagship channel. But ultimately, it's a channel for distribution of the content. And we are well prepared with any new channel of consumption. And therefore, we will meet our clients' demand where they want us to meet them. If it is an MCP server, we'll deliver data through the MCP server. If it is the workstation, it is the workstation. What we ourselves expect is that there's going to be more of both. Because anytime we see digital adoption scaling, as we have seen historically with other sort of technology trends, one plus one equals three. There's even more demand. The end markets consume the data in multiple different ways. Now the other point I'd like to point out about the workstation is the workstation is deeply, deeply embedded in the workflows of our clients across the sell side and the buy side. So it's not just a portal where you look at the data. It is deeply intertwined in the investment workflows that our clients pursue, and we see the components of consumption through other channels actually complementing it and being ultimately brought back into the workflow that the workstation is anchoring today. So that's how we see this evolving. And, of course, we are well positioned in whichever way the market evolves. As far as the margins are concerned, you know, we see strong margin opportunity on both sides. Right? The workstation is a high-margin product. But so are these data feeds through other channels. And we continue to anticipate that both will continue to deliver very strongly for us on the operating margin front.
Operator: Thank you. Our next question comes from the line of Scott Wortzel with Wolfe Research. Your line is now open.
Scott Wortzel: Thank you for taking my question. Just wanted to ask on sort of private market data offering. And there's been a lot of, I think, investment in the space from yourselves and your peers as well in terms of increasing the magnitude of data that you have on private companies. So just wondering how you sort of feel about your competitive position with your private markets data and if it is an investment priority for you over the course of the next twelve months here. Thanks.
Sanoke Viswanathan: Thanks, Scott. Private capital is clearly an area that we cannot ignore. And we've been investing in it already now for multiple years. And we have a very strong position now in the quality of our datasets that we're delivering. We cover over 10 million companies in our, you know, private company database at a very high-quality level similar to the quality standards I talked about earlier when we talked about our proprietary data. And that way, if you think about how we operate and how we aim to support the client base, we think of it from the pre-deal stages through the deal-making stages and into the post-deal sort of spectrum of activities. On the buy side, obviously, because of our strong position in portfolio analytics, we have a very privileged position to support clients as they look at their total portfolio views across public and private assets. And, you know, the data that we are today providing on private capital is enabling our asset owner clients and our asset manager clients and insurers to look at the risk in a normalized fashion, which historically has been very difficult. And with some of the market events that are happening, there is a growing need for risk assessments at a much greater frequency, which is playing well to our strengths in the space.
Operator: Our next question comes from the line of David Motemaden with Evercore ISI. Your line is now open.
David Motemaden: Hey. Thanks. Good morning. I wanted to just ask. It sounded like the pipeline's good. The environment is getting more constructive. Some of the changes to sales incentives and product investments have been gaining traction. But could you just help me reconcile that with the only seven net new clients that were added this quarter?
Sanoke Viswanathan: Sorry. Can you repeat that, a bit? We didn't hear it clearly.
David Motemaden: Yeah. I just it sounded like the pipeline is good. The environment is constructive for your clients. The product investments have been gaining some traction. But when I look at the net new clients this quarter, it's up by only seven. That's the, you know, the lowest amount of net new client adds you guys have had in quite some time. So, you know, is there, you know, so it seems like retention is solid, but the new logo adds might be lagging a little bit. So I was wondering if you could just explore that a little bit.
Sanoke Viswanathan: Sure. Sure. Thank you. The first I would say the client count is broadly in line. It tends to be a little bit lower in the early part of the year. And we are not worried about the client count number itself. We actually have a very strong pipeline of new business opportunities. And if you look at our ASP growth from new business, it's actually very, very strong. So I wouldn't worry much about the client count number. And we actually see a really strong pipeline on that front through the rest of the year. And maybe, Goran, you can add a little bit to that.
Goran Skoko: Yeah. David, then if you look at historically, Q1 is a slower, you know, slower in terms of net client growth, but I would just reiterate what you're saying. We're seeing lots of positivity. We're seeing a strong pipeline and, you know, really expect to deliver for the rest of the year.
Operator: Thank you. This concludes the question and answer session. I would now like to turn the call back over to Sanoke Viswanathan for closing remarks.
Sanoke Viswanathan: Thank you, operator. And thank you, everyone, for joining the call today. We are still early in this next chapter, as you can see, for FactSet. And while there's much work ahead of us, the opportunity in front of us is very clear. Our structural advantages give us a strong foundation, and we are mobilizing with urgency to execute against these priorities. You will hear more from us in the coming quarters as we move forward with speed and discipline. I want to thank once again all our FactSetters for your continued commitment to our clients. Operator, that ends today's call.
Operator: This concludes today's conference. Thank you for your participation. You may now disconnect.